Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:04 Greetings and welcome to the Bridge Investment Group’s Third Quarter Twenty Twenty One Earnings Call and Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce our host Charlotte Morse, Director of Investor Relations and Marketing. Thank you, Charlotte. You may begin.
Charlotte Morse: 00:36 Good morning, everyone. I'm Charlotte Morse. We appreciate you joining us for the company's third quarter twenty twenty-one financial results conference call. Our prepared remarks will include comments from our Executive Chairman, Robert Morse; Bridge’s Chief Executive Officer, Jonathan Slager; and our Chief Accounting Officer, Katie Elsnab. 00:55 We will hold the Q&A session following the prepared remarks to my leaders. During the call today, we will reconciled highlighting key points in discussion as well as certain Non-GAAP financial metrics. The reconciliation of the Non-GAAP metrics are provided in the appendix of our supplemental slides. The supplemental materials are accessible on our IR website at www.ir.bridgeig.com. 01:22 These slides can be found under the events and presentations portion of the site along with the third quarter earnings call event. They are also available live during the webcast. It is now my pleasure to turn the call over to Robert.
Robert Morse: 01:37 Thank you, Charlotte, and thank you to everybody joining us this morning. We're proud to report another strong quarter for Bridge and our first quarter as a public company. As you may recall, we executed our IPO on July sixteen of this year and some of the financial data is as of and after that date. During our roadshow, we highlighted a number of differentiating factors that positioned bridge to succeed in the real estate alternative asset investment business, not the least of which is our purpose-built organization, centered around the two pillars of real estate specialization and forward integration in the property management to capture alpha at the asset level. These two pillars in combination with our carefully curated focus on the most attractive areas of commercial real estate in the U. S. Have driven strong results this quarter and we believe we'll continue to power our company forward in the quarters to come. 02:36 As I mentioned at the time of our 2Q results, which were disclosed after the IPO date, but for the benefit of the company as it was prior to the IPO. the bridge focus on the U. S. As the preeminent global investment destination and selected rapidly growing sectors of the market with specialized and forward integrated operations and a professional team second to none all helped to propel our company forward. Since the IPO, we have continued to invest in our company in our professionals in the infrastructure that effectively serves our funds and fund investors and in our industry leading research and analytics. 03:17 On slide five we highlight some of the important metrics from 3Q financial results. First, we had another strong quarter of gross AUM growth, which ended the third quarter totaling thirty one point eight billion dollars up thirty seven percent year-over-year and represents a compound annual growth rate of thirty five percent over the past five years. We continue to be pleased that our growth in both mature and newly launched strategies. In the aggregate, our strategies are designed to address and benefit from three of the major themes defining the U. S. Economy and financial markets. The current and seemingly protracted housing shortage in virtually all parts of the U. S. which we addressed through our residential offerings in Multifamily workforce and affordable housing Opportunity Zone development and Seniors Housing. Second, the dire need for infrastructure investments, which we address through our logistics offerings, logistics value add and Logistics Net Lease. 04:17 And third, the search for meaningful yield in a low structural interest rate environment, which we addressed through our residential focused CRE back fixed income offerings debt strategies and AMBS. Our fund offerings are completed by an office fund, which addresses the growing need of office using employers in fast growing areas of the U. S. In all of these offerings, we seek to provide investors with leading returns, characterized by current distributions and capital appreciation appropriate. We do sell while in ensuring that our investments benefit our residents and tenants via social and community programming at many of our residential communities through the development and preservation of affordable housing and by carefully considering and incorporating leading ESG and DEI principles in all that we do. As we continue the 3Q review on the right side of slide five, you can see that Bridge also grew trailing fee related revenue by thirty eight percent in the third quarter to two twenty million dollars. The growth in our fees was driven by strong and diverse AUM growth. 05:24 In addition, we had another strong quarter for realized performance fees as bridge funds continue to harvest gains. Our outperformance in realized performance fees is related to a combination of timing of asset sales and outperformance of our assets in disposition. Jonathan will give you some more color on our unrealized gains as well, which will give you some context on how long the runway for our performance fee growth is. As you can see, it has been a good track record recently as our aggregate fee related revenues have grown at a compound annual growth rate of twenty one percent over the past five years. 06:02 Finally, as you saw in our release, our results drove another strong quarter for distributable earnings to the operating company before taxes, which were forty two point four million dollars or zero point three eight dollars per share in the third quarter, which represents growth of one hundred and eighty five percent compared to a year ago on a pro forma basis. For the stub period from the date of IPO to September thirtieth, the distributable earnings to the operating company before taxes was zero point three four dollars per share. This translates into approximately zero point two six dollars per share after tax. 06:37 As a reminder, we plan to pay out substantially all of our distributable earnings in the form of dividends to shareholders. And as a result, our Board declared the dividend for public shareholders of zero point two four dollars per share, which is ninety five percent of our estimate due to potential tax variance and will be payable to shareholders of record on December third. 06:58 If we turn to slide six, let me give a little more color on Bridge’s achievements over the quarter that drive the types of financial results I just reviewed. First, Bridge had another strong fundraising quarter at over one point five billion dollars. The fundraising in 3Q was largely comprised of our housing oriented funds, which include Opportunity Zone fund IV Multifamily fund V and debt strategies fund IV. We also had our first successful closing of our Logistics Net Lease fund and continued capital raising into our AMBS fund. We are seeing strong demand in next generation funds such as Multifamily fund V and also in new strategies like Logistics Net Lease and logistics value. In the aggregate, our fundraising in the third quarter was a record for a third quarter and nearly double the previous third quarter fundraising record. 07:52 Year-to-date, Bridges has raised two point seven billion dollars and we expect our full year twenty twenty one fundraising to meet or exceed our expectations for the year. If we move to the second heading, strong fundraising field and equally strong pace of development in Bridge funds. Our teams excel in identifying and executing against our disciplined investment opportunity pipeline. 08:17 In total, deployments for the quarter were one point three billion dollars which is a one hundred and twenty seven percent increase over a year ago and marks another record in Bridge’s history. In addition to our record deployment, we had two forty one million dollars of realizations at attractive valuations that resulted in thirty one million dollars in performance fees. 08:40 Turning to slide seven, let me give a quick update on our fund performances to date. As mentioned, 3Q twenty twenty one was a strong quarter, which followed earlier performance in our specialized strategies. Across the board, our funds recorded impressive results in the third quarter as a result of growing occupancy especially pronounced in our Seniors Housing assets, which were disproportionately affected by the COVID pandemic, strong rent growth in residential strategies and careful expense controls. We believe that the quality assets we operate coupled with a compelling suite social and community services, and amenities resonate well with our target audiences. 09:22 On this slide, we show the returns for those funds through which the capital raising period and deployment period have expired. Our later funds have performed equally well and in some cases even better, which is recognized by the value it offers for residents and tenants, and that positively influences occupancy and the rents that we can charge. In fact, in many of our assets, we believe that we are in effect under market in terms of rent charge, so there's more upside looking forward. All things being equal. I want to speak to three key takeaways regarding our fund performance and track record. First, I want to reemphasize how critical Bridge’s specialized in operational approach to commercial real estate is to our investment performance. 10:05 Bridge manages the majority of the assets we acquire or develop. We have a nationwide operating team, and we strongly believe that local knowledge is key to making smart investment decisions. We strive to know more about the markets we invest in and act more quickly than other institutional investors, which translates into alpha and the types of performance results that we've been able to post. Secondly, we are operating in an environment with substantial tailwinds. Household formation is high, migration to the select cities in which we invest both personally and by companies continues and the economic health of the middle class and lower economic cohort the U. S. Workforce is growing. In part by needed wage growth and in part by the massive fiscal stimulus sourcing through the economy, the Bridge focus on prime growth markets and Class B and Class C Multifamily puts our investments directly in the intersection of these positive trends. Third, our track record is a key driver to fundraising success when our fund outperformed that performance is one of the best tool to broaden our investor base and we are doing just that. More on that later when we talked about fundraising for the quarter. 11:15 In connection with slide eight, I'll give a brief market commentary. First, commercial real estate continues to be an asset class with significant demand. Allocations among institutional investors continue to rise and are expected to rise further in the coming years. We believe Bridge should disproportionately benefit from this overall trend given our investment track record. 11:37 As to the topic of inflation and rates, we would also note that many of our investors are specifically allocating to commercial real estate because of the natural inflation hedge embedded in the underlying cash flows. For instance, the average multifamily asset is seen an over ten percent increase in rental rates over the past year. Similarly industrial warehouse or logistics assets have seen a seven percent increase in rents over that same period. 12:06 This point dovetail with the second heading, which is that Bridge’s strategically focused on fundraising and investment within the Group's fastest growing property sectors specifically residential and logistics. To be clear, while the inflation hedge is a positive attribute for these asset classes, the rental rate increases already by product of what we believe are long lasting demand drivers for each sector. 12:32 First, we have long believed and continued to see the U. S. Residential market as significantly undersupplied in the wake of the great financial crisis. Similarly, we believe the drivers of e-commerce combined with issues we are seeing in the supply chain, our key multiyear drivers for demand in the logistics space. Lastly, I will quickly reiterate that while Bridge benefits from industry or market trends, we will always be most focused on the value our unique forward integration model creates as defined by our relative fund performance. 13:08 On slide nine, I want to share with our constituencies, some of the commitment and progress we have made towards our ESG and DEI objectives. All as the part of our mission and core values, which include the core value that the only way to achieve excellence is through diversity and inclusion. Specifically, our workforce and affordable housing strategy recently received several awards including the ESG private markets strategy of the year by pension Bridge. That strategy also one social fund of the year from environmental finance and best ESG investment fund in the private equity category from ESG investing. 13:48 In our workforce and affordable housing strategy, Bridge Partners also contribute individually and collectively towards amplifying the social and community programming at our communities. In fact, across all of our residential activities, we invest to provide numerous opportunities for our residents, and we celebrate their accomplishments as our own. And while I won't detail each, the whole team at Bridge is very proud of our broad efforts to drive diversity and inclusion. We supported the establishment of multiple new employee affinity groups to support our commitment to diversity, are more than sixteen fifty colleagues are the cornerstone of our business success and we continue to invest in them. Bridge believes that the best ideas from come from the collaboration of many. Our teams have always been built that way and we are very happy to work at a place that foster that goal as part of our core business strategy. 14:44 Our demonstrated commitment to the well-being of our residents and tenants is one of the key factors that distinguishes us in the marketplace. With that, let me turn the call to Jonathan. Jonathan?
Jonathan Slager: 14:56 Thank you, Bob, and good morning everyone. If we turn to slide eleven, let me quickly review our quarter and then provide some additional color on Aum growth and performance. As you heard from Bob, our third quarter was another record at Bridge across a number of our key performance indicators. I'll run through some of the highlights quickly and you can all review them in detail after the call. Ninety two point two million dollars of total revenue was our second best quarter ever and by far the best third quarter, up seventy nine percent from Q3 twenty twenty. 15:29 Investment income of eighty point nine million dollars sets a new quarterly record and is up over three hundred percent from Q3 of twenty twenty. Net income of one hundred and eighteen point nine million dollars for the quarter compares to thirty one point three million dollars in Q3 of twenty twenty and far exceeds our previous record of ninety two point five million dollars set in Q4 of twenty twenty. Our third quarter fee related earnings of twenty point nine million dollars are up one hundred and sixteen percent from the same quarter in twenty twenty. and year-to-date, ninety point three million dollars is up thirty eight percent from the same period in twenty twenty. This was driven mostly by record deployment with help of strong capital raising. Our realized performance fees for Q3 of thirty one million dollars as our second best quarter ever and unrealized accrued carry as at record levels, sitting at three zero two million dollars is one hundred and seventeen percent up from Q3 of twenty twenty. This strong growth is a result of Bridge being in the right sectors, our outperformance in these sectors is due to our strong operating capabilities. Distributable earnings of forty two point four million dollars for the quarter are up one hundred and eighty five percent for the same period in twenty twenty. Distributable earnings for the trailing twelve months of one hundred and sixty six million dollars is up one hundred and twenty four percent from the previous trailing twelve. Gross AUM finished at thirty one point eight billion dollars up thirty seven percent from Q3 of twenty twenty and dry powder today at the end of last quarter sits at two point one billion dollars. 17:05 If we turn to Slide twelve, we can further highlight some of our key performance indicators. At the top left, our fee earning AUM finished at twelve point one billion dollars in Q3 thirty two percent above Q3 of twenty twenty. This was driven by another strong quarter of fundraising, totaling one point five billion dollars. The third quarter fundraising activity is the third highest in the company's history and was driven both by legacy follow on funds as well as new fund strategies. As Bob noted, we are excited about our progress on both our mature and our new strategies. Our new strategies in particular, have so much potential to rapidly scale and the early reception in the market has been tremendous. Our Logistics Net Lease fund and value at logistics funds are really well positioned to benefit from the strong sector tailwinds that Bob described earlier. 18:00 Turning to the fee related earnings. On the upper right, Bridges trailing twelve months fee related earnings of one hundred and nine million dollars is twenty three percent above the prior twelve months. In fact, fee related earnings for the nine months year-to-date of ninety point three million dollars exceed our previous full year record of eighty seven million dollars set in twenty nineteen. The majority of the earnings growth was driven by recurring fund management fees, which as Bob noted, have grown at a compounded annual growth rate of fifty six percent for the past five years. 18:35 Recurring fund management fees were at one hundred and eighteen in the trailing twelve months. As Bridge launches new strategies and continues to roll-out next generation funds. We see a good pipeline for continued growth in these fees and as we will discuss later, they continue to lengthen an average duration with each passing quarter. On the bottom left, you can see the realized performance related earnings have had their two largest quarters in our history as the platform has grown and the size and scale of our overall dollars of work grow. We anticipate that we will continue to see strong increase in the overall growth trajectory of both total investment income and realized performance fees. It is important however to know that these fees will vary quite significantly from quarter to quarter as many of our newer funds operate with European carry structure, which realizations are heavily concentrated toward the end of fund life. 19:34 Lastly, at the bottom right of the page, as we said, our growth in distributable earnings has been dramatic and our trailing twelve months is just three percent off of our record year in twenty nineteen. We are on pace to substantially beat our prior record of one hundred and thirty four million dollars in distributable earnings set in twenty nineteen. 19:55 If we turn to slide thirteen, let me put some context around what we believe is a very compelling growth story of Bridge. First, as noted, we had a record third quarter of fundraising at one point five billion dollars which drove strong growth in fee earning AUM despite the fact that we executed on two forty one million dollars in realizations in that same quarter. 20:20 Bob will give more detail on both in a minute. But I'd like to make a point about the stickiness and the visibility of the fees that are driven by that fund raising. It is probably well understood, but these management are contractual. But if you turn your attention to the pie chart, you can also see that our funds are very long dated. In fact, the one point five billion dollars that we raised in the third quarter has an average duration of over ten years and as of the end of the Q3 twenty twenty one, our overall average duration of fund said the seven point five years up by eight months or ten percent from Q3 twenty twenty. 21:00 This increase in duration along with the increase thirty two percent or two point nine billion dollars of incremental fee earning AUM, illustrates stickiness and visibility of our fee streams and allows bridge to plan strategy with a well-defined view of our future revenue. As we have said many times before the robust growth of our recurring fund management fees combined with the long tenure of these fee streams often an attractive, well defined roadmap for our shareholders as they value the components of their return in the form of distributable earnings in future years. 21:36 If we turn to slide fourteen, again, we show our recent history of performance fees In the chart on the left, you can see that in the quarter, we earned thirty one million dollars which was primarily driven by realizations in our Multifamily funds with some additional support from our debt strategies fund. This thirty one million dollars is our second highest quarter and follows last quarter's all-time record of thirty five point six million dollars. Clearly, the market environment has been strong, and Bridge has been well in both the playing capital and also in realizing attractive returns in the past two quarters. At bears repeating, that while in a strong upward long-term trajectory over the long-term, realized performance fees vary dramatically from quarter to quarter based on the timing of realizations of our funds. While quarter to quarter timing of realized performance fees can vary, We thought it makes sense to add disclosure to give you all a sense of the pipeline of value creation embedded in the performance fees that sit in our funds. 22:41 I'd like to turn your attention to the graph on the upper right that illustrates Bridge’s accrued performance fees which have grown one hundred and seven percent since Q1 of twenty twenty and today stood at three zero two million dollars in aggregate, If you look at the pie chart on the bottom right, we break down that to three and two million dollars by fund vintage. It shows two things seventy five million dollars of this accrued unpaid income is in funds that are approaching seven years in vintage. This means they are nearing realizations. And nearly all of it is three years and longer. Key takeaway here is that bridge funds have significant future performance fund realization this should occur to the benefit of our shareholders in the form of distributable earnings and dividends in future years. 23:28 Before I turn the time back to Bob, I'd like to leave you with some thoughts about why we believe Bridge is so well positioned. Bridge’s core business is well suited to perform in inflationary times and our strong operating platform is simply built for this. Our operating performance continues to meaningfully outpace the very strong national numbers that Bob referred to in his opening remarks. Residential real estate has long been considered a great inflation hedge and you were seeing that play out in the numbers in this quarter's announcement. Approximately eighty five percent of our current AUM is residential equity for residential backed debt. And moving forward, the largest growth part of our business is in industrial, which is experiencing unprecedented demand and is expected to continue for the foreseeable future. With that, I'll turn the time back over to Bob to discuss our fundraising.
Robert Morse: 24:26 Thank you, Jonathan. On slide fifteen we show that we had a successful quarter for fundraising at over one point five billion dollars in the quarter. Over the past five years, we've grown our AUM at a compound annual growth of thirty five percent including four point nine billion dollars raised in the past eighteen months. Fundraising highlights from the third quarter include successful closes in our Multifamily debt strategies, agency, MBS, development and Logistics Net Lease funds. 24:57 The Bridge CSG team and I made several successful capital raising trips over the last thirty days within the U. S. to Europe and the Middle East and our access to prominent institutional investors has never been higher. In fact Dean Allara, our Vice Chairman and Head of the Client Solutions Group is in the Middle East through this week to continue our efforts in that region, which is why he's not on our call today. 25:20 Turning to the right side of the page, our fundraising is inherently tied to our ability to identify investments and deploy capital, which delivered there as well with over one point three billion dollars invested in the quarter. That breadth of investment shows the scale of Bridge as well as the local knowledge to source and execute on both large and small deals that satisfy our return requirements. Best of all, is that our deployment over the quarter span seven specialized investment strategies. And now let me turn the call over to Katie Elsnab to review our financials. Katie?
Katie Elsnab: 25:57 Thank you, Bob. I will start on Slide seventeen and eighteen. As Jonathan and Bob had noted it has been a record breaking quarter for Bridge related to our capital raising and deployment. As I walk you through our GAAP financial statements and Non-GAAP metrics, you will see the impact of our execution on our financial performance. 26:15 Our total revenue for the three months ended September thirtieth twenty twenty one was ninety two point two million dollars compared to fifty one point four million dollars in the prior year. This is due to a fifty two percent increase in fund management fees, which is primarily due to an increasing of thirty two percent of our fee earning AUM year-over-year and four point two million dollars of catch up fees, which will increase our reoccurring fund management fees. 26:39 Additionally, our transaction fees are up three thirty one percent over the prior year which is driven by one point three billion dollars of deployment during the quarter. Finally, there is an eight point eight million dollars increase in property management and leasing fees, which was largely driven by an increase in leasing activities in our commercial office assets. 26:57 If we turned to investment performance, you've already heard that it was record breaking quarter that was driven both by realized carried interest of thirty one million dollars and unrealized carried interest of fifty three million dollars. This again is driven by assets in the multifamily sector. As Jonathan spoke to previously, we believe that our portfolio overall, especially given our diverse growth asset strategy as well positioned for future cycles. 27:20 We also have a significant increase in employee compensation and benefits, which is largely due to our increase in corporate employee headcount related to our increase in the earning AUM and new strategies. Finally, our third party operating expenses are up five point five million dollars primarily due to the increased commercial leasing activity previously mentioned. Overall, it was a strong quarter with GAAP net income of operating company of one hundred and eighteen point nine million dollars versus thirty one point three million dollars in the prior year. Our earnings first share for the period from July fifteen twenty twenty one to September thirty twenty twenty one was zero point four one dollars per share. 27:55 Next to our Non-GAAP measures. First on a pro forma basis, our total fund level fees grew at ninety seven percent or last year to sixty two point five million dollars driven by strong growth in our contractually reoccurring fund management fees, driven by continued AUM growth that Jonathan and Bob spoke about. Our transaction fee growth was also very strong more than four times compared to the same period last year. The compared  due to COVID, but also aided by elevated transaction activity during the quarter. 28:24 Total fee related revenues grew ninety four percent over last year to  quarter at seventy million dollars. The performance was driven by strong fundraising fee earning AUM growth and effective deployment. As you've heard many times already, we believe that Bridge’s outperformance is driven in large part by our vertical integration. We drive value in our ability to make the drive changes at the operating level and to create alignment through a common vision with the entire teams that starts with our deployment at acquisitions and through our operations of the funds’ assets. 28:51 This will allows our transaction fees and net earnings from property operators to be an extension of our fund management fees. Based upon the growth in our fee earning AUM and execution of our strategy, we generated very strong fee related margins of sixty percent as we mentioned last quarter, these margins are top tier for asset managers and that includes the expense we vary for our vertical integration and our property management functions. 29:14 This strong growth in fees drop total fee related earnings operating company of twenty nine point nine million dollars up one hundred and sixteen percent compared to the third quarter last year. As Jonathan has highlighted, Bridge also had a very strong quarter for realized performance and incentive totaling thirty one million dollars. As noted the realization outperformed compared to our plan for the quarter, given the attractive market dynamics. 29:36 Lastly, our distributable earnings for the quarter were forty two point four million dollars or one hundred and eighty five percent higher compared to a year ago on a pro forma basis. As you can see on slide nineteen, we split our summary income statement to show the impact of noncontrolling interests. We're going to walk through this one last time as we're still getting a few questions on this. The easiest way to look at our NCI is to separate our fee related earnings from our performance fees. Within our fee related earnings, we essentially have two buckets of noncontrolling interest. 30:05 The first is noncontrolling interest related to our fund managers. As we launch new strategies, we provide our new teams a minority interest in our expected fund manager that can be later collapsed into an the operating company. We believe that strategy differentiates and provides us stability to track top talent. 30:22 We also have NCI related to our profits interest program. These programs related to process interest granted as the fund manager prior to the IPO and will be collapsed into the operating company over the several years. One thing to clarify is that when these interests are converted in interest in Bridge, it is expected to be accretive to the public company. This will be done on a pro forma basis using DE of their respective fund manager and big determined value of the manager interesting converted. We will then discount that amount by twenty percent asset it is expected to be accretive to public shareholders. 30:56 Our MD&A and our forthcoming ten Q disclose the allocation of NCI between profits interest and fund managers for your reference. Now performance fees, due to our legacy structure, the allocation will be hearing compensation and NCIS is somewhat complex. The easiest way to think about this currently is supply or thirty five percent to the performance allocation income to determine amount that will be applicable to the operating company. Our MDA breaks out to NCI related to their realized and non-realized components. 31:25 Additionally, on the face of the statement of operations, you'll know that we also have noncontrolling interest related to operating company, this represents the allocation that the earnings of the operating company to Bridge’s pre-IPO continuing on this, which represents approximately seventy seven percent of the other company as of September thirty twenty twenty-one. 31:43 And lastly, on slide twenty, let's review our Distributable Earnings and capitalization, First, our pre-tax Distributable Earnings for the third quarter to the operating company totaled forty two point four million dollars or zero point thirty eight dollars per share, up one hundred and eighty five percent compared to a year ago on a pro forma basis, driven by all of the components of our business we've detailed including a strong AUM growth, fee related earnings and realized performance allocations. As you saw from our earnings release, Bridge also declared a dividend of zero point two four dollars per share which is consistent with our target to pay substantially all of our distributable earnings as dividends to the shareholders. Finally, somewhat to last quarter Bridge has a significant available capital and relatively load debt as we noted during our IPO, we believe that there are numerous opportunities to grow the business both organically and via strategic acquisitions. With that, let me conclude my remarks and turn the call back to the operator so we can take your questions.
Operator: 32:38 Thank you. We will now be conducting a question-and-answer session.  Our first question is from Bill Katz with Citigroup. Please proceed with your question.
Bill Katz: 33:24 Okay. Thank you very much for taking the question this morning. First question is you listed of the new asset opportunities, can you help us just maybe frame out where you are in terms of the legacy footprint between sort of absorbing some of the existing footprint versus maybe successor funds and then maybe on some of the newer products so give us a sense of way we today and then how big they may again. I know you have a little more disclosure coming up in the queue. I'm just trying to level set between like sort of capacity in the existing versus opportunities so as successor and new initiatives? Thank you.
Robert Morse: 33:59 Thanks, Bill. This is Bob Moore speaking. And hopefully interpreting your question correctly. We're seeing a significant amount of opportunity in our so called mature strategies, which for the most part are aligned against the residential opportunity in the U. S. Are both capital raising and deployment for Multifamily for workforce and affordable are going well for the current funds in those areas. And we think that the U. S. Is in the early stages of a protracted housing shortage we believe that we're well positioned to help address that housing shortage, not only by renovating existing assets, but through our opportunity zone, fund developing new assets. We have about seventy developments around the country, which are bringing a significant stock of Multifamily with a meaningful component of affordable units to the market. 35:01 I'd say we're equally excited about the opportunities in logistics, which is the focus of much of our new strategies, both value as logistics as well as Logistics Net Lease, the fact that the U. S. Congress which has been so federally divided for so long came together in a bipartisan way to reduce an infrastructure bill of one point two trillion dollars. I think messages how important infrastructure and logistics are, and we think that we're really well positioned to benefit from those continued government investments and supplement those with investments on the logistic side. I would say also not to not to leave it out that seeing a dramatic recovery both in the appeal and value of Seniors Housing as well as react patient of offices, particularly in the prime growth markets in which we both have office assets and are investing actively in office. We think that the opportunistic nature of the office market is particularly interesting where we've been seeing transactions that are priced very, very attractively at meaningful discount to replacement cost and we think that long-term that message that will have a very competitive profile.
Bill Katz: 36:34 Okay, great. And just one follow-up for me, maybe it's sort of a tough question. The deployment transaction fees were quite strong as was the bridge property income. So, I don’t think about maybe a normalization of that and how might that tie into your FRE sixty percent margin on a go forward look? Thank you.
Robert Morse: 36:56 Jonathan, do you want to address that?
Jonathan Slager: 36:58 Sure. Happy too. Hey Bill. I think the way to think about transaction fees, transaction fees are always going to be a core part of our business. But as we talked about before as the business grows, they become a smaller overall percentage and we see at most of our growth coming from long-term fee related asset management fees and other areas of the business, but we don't see a dramatic drop off between like twenty one and twenty two of the transaction fee. We just see, we were not forecasting meaningful growth quarter to quarter, you're going to see some quarters that are really strong like this quarter and some of the quarters, you might see a slow quarter. And I think that we've always kind of tried let you know that you shouldn't ever kind of measure our margins by a single quarter's margin because the business is going to be impacted by both deployment and meaningful capital raising because significant portion of our business is still closed in funds. So you understand about the nature of that. So at the end of the day, we had a very good quarter overall, we're looking as we look forward to as the business scale longer term modest improvements in our margins, but the margins that we had in this quarter are obviously really fantastic and not something that should be modelled out as a consistent margin level.
Bill Katz: 38:44 Okay. Thank for taking my questions.
Robert Morse: 38:47 Thanks for your interest.
Operator: 38:52 Thank you. Our next question is from Ken Worthington with JPMorgan. Please proceed with your question.
Ken Worthington: 38:58 Hi, good morning. In terms of commitments to that contribute to the increase in fee paying AUM, looks like about one point four billion dollars and we were anticipating good fundraising this quarter, but also next quarter with three quarters so good. I'm curious, do you think there was any pull forward in fundraising from 4Q into 3Q and Bob, you mentioned that you expected fundraising this year to beat your expectations. Can you remind us what those fundraising expectations are this year?
Jonathan Slager: 39:38 Thanks, Ken. We're seeing a great deal of momentum in our capital raising efforts. The world is reopening. We're traveling much more. I just came back from very productive trip to the Middle East. Some of the team is remains in the Middle East now. We're seeing that investors – institutional investors, both existing investors as well as new investors are finding themselves after eighteen months or so of less activity with an enthusiasm to submit. We found that the track record that we posted in the past, we reviewed that. It's a significant marketing tool for us. People like to invest with quartile producers. And so I think we have a great deal of momentum. It's an interesting question, we have not interpreted the third quarter success as a roll forward from year end activity and in fact, I would say that as the year comes to a conclusion, investors are interested in making sure that they meet their annual targets. So we would anticipate a fourth quarter, which is strong as well. I believe have messaged to the street that that we hope to be well in excess of four billion dollars of fresh capital raised in twenty twenty one and more in the four point five billion dollars range or so, and we're sticking by that that estimate for the year.
Ken Worthington: 41:28 Okay, great. And then maybe a little bit more color on Multifamily and logistics. Can you remind us on your target for Multifamily and even the hard cap? And really how much you've raised us far versus your target, So how far along that fund is? And then with the two logistic funds that I believe both launched in the quarter, maybe if I'm wrong on that. But the same thing sort of what is the target that you have for those funds and just how far along are those funds in actually fundraising?
Jonathan Slager: 42:04 Different status for each one of those. We're in the market today with our fifth Multifamily fund and our second workforce and affordable housing fund and those two funds are in the first case Multifamily and the beginning stages of capital raising in the case of workforce affordable sort of midway through and coming up towards the towards the latter part of capital raising. We have a two point five billion dollars target for Multifamily fund V and confidence that we'll be able to achieve that. We have a one point five billion dollars target for workforce and affordable, excited about that, because it's way more than a drop in the bucket to addressing the affordable housing crisis in the U. S. And believe that we're well on the way to achieve that as well. For both of those funds we have closings that are coming up in the fourth quarter and so we'll be able to give you more of an update when we announced fourth quarter results, but the amount of interest is as strong as it's ever been for both of those funds, both from returning investors who had a really good experience in earlier funds as well as new investors who are looking for exposure into in the multifamily and I think in both cases, have a variable whose of a prominent institutional investors in particular as well as a strong retail interest in participating in those sectors. You're correct about logistics. We are just out of the gates with respect to logistics. Logistics, net lease is an open ended fund and so there's no target for that. We feel that the opportunity set is very broad. 44:05 We've really just begun the outreach for Logistics Net Lease but the combination of high income, an attractive net to the investor IRR and the tax advantage nature of an equity fund, all combined to make net lease appealing both to folks who want to fee invested in logistics, as well as investors who are interested in high current yield, which is so hard to find in today's market. So, we feel we have a really broad runway there, but we're just getting started. I think we showed in the second quarter results, the pretty de-minimis contribution to overall, either gross or fee paying AUM that logistics broadly speaking represents and we hope expect that that's going to grow on a fast and disproportionate basis as we move forward. With respect to logistics value add, we really are just at the point of launching that fund now. So no real early returns other than to report a great deal of interest and we hope and expect that when we do have a closing, it'll will be a strong closing. It'll will be representative of what we think is the very solid investment thesis that we have for logistics value add providing that infill, those infill investments in a sector that's in dire native of investment. What's really interesting is the long-term secular growth prospects we think for logistics and for e-commerce in particular, the U. S. I think today, e-commerce represents about eighteen percent of total commerce and in other countries, that percentage is much much higher. We've seen we've seen the COVID pandemic accelerate e-commerce penetration to that eighteen percent, but we think it's really just the beginning of the wave. And our team is so well positioned to find and to renovate to expand in some – many cases develop new appropriate assets that get in the way of that secular growth that I think the success of that fund is predicted and to us really exciting. It's going a lot of attention both internally and externally.
Ken Worthington: 46:47 Great. Thank you very much.
Jonathan Slager: 46:51 Thanks for your question.
Operator: 47:04  Our next question is from Michael Cyprus with Morgan Stanley. Please proceed with your question
Michael Cyprus: 47:14 Hey, good morning. Thanks for taking the question. I wanted to ask about the private REIT space, which has attracted a lot of attention lately. So just curious what sort of opportunity you see from that sort of retail oriented vehicle, what certain strategies can make the most sense and actions that you might either take to break something like that. To the marketplace, so maybe more broadly you can just give us an update on your retail distribution initiatives?
Jonathan Slager: 47:40 Thanks, Michael. Retail a big component of what we do. We have distribution relationships with Virtually all of the leading warehouses including Morgan Stanley, Wells Fargo, UBS, JPMorgan, First Republic, a number of regional firms, etcetera. And we raised a great deal of capital every year through those retail channels. Our current profile is different from and differentiated from the retail REITs. We invest in value add assets I would say that our investment profile is higher octane than it is for the REITs and our performance generally speaking has been far above those of the REIT, it's a different product that's oriented towards a different more affluent or higher network qualified purchaser universe at this point. 48:45 And that has been very successful. We certainly are aware of and focused on the fact that the retail market extends to a group that's bigger than the qualified purchasers and we are aware of how popular, some of the retail non-traded REITs have been – we're continuing to examine opportunities how we can take our already strong retail presence and extend it further into the market. We think that if and when we do that, we would like to maintain the specialized nature of our investment teams and perhaps combined that specialized nature into a diversified vehicle that has a competitive differentiation from what is in the market now. We know it's a crowded space, but we think that the bridge when and if we launch a vehicle would be competitively positioned to attract a meaningful amount of capital.
Michael Cyprus: 50:01 Great. Thanks. And just a follow-up question. If I could just on real estate credit, which is a meaningful portion of your AUM today. I hoping you could just talk a little bit about the Opportunity set that you see to grow, the credit platform further, what might be more meaningful would you say over the next couple of years scaling existing strategies that you have on my credit side or any sort of extensions into adjacencies and new strategies and credit and what can make the most sense there if you think about building out your credit platform?
Jonathan Slager: 50:34 It's interesting how the credit markets have evolved. We've dramatically expanded our direct lending activities against transitional real estate in bridge strategies our bridge debt strategies, series of funds and the opportunities there we think remain very significant to continue to expand that. The fact that we now have a meaningful logistics capability we think would allow us to intelligently lend not only against Multifamily assets, which has been the bread and butter of our business in the past. But also industrial assets, where we have a much more informed point of view at this point. So that represents some organic growth and related diversification if you will. We've also seen a great deal of continuing interest in our agency mortgage backed securities open ended monthly liquidity fund again, playing on the residential team, but offering an open ended vehicle that in many respects serves as a  money market equivalent, not exactly the same, but offering eight percent to ten percent current returns with monthly liquidity and a great deal of structural principle protection. 52:03 So that more newly launched effort is gaining meaningful traction and momentum as we go forward as well. And we thought that we had that timing when we launched that in the literally in the face of the market catharsis of April, of twenty twenty. In fact, the performance of that fund was strong and stable and about us to translate that unfortunate launch timing into a marketing point, which a lot of investors are taking comfort from now that we can navigate that fund and its structure can navigate through tough times as well as succeed in good times. So we're excited about the future for that as well. We always are and this is a comment that we would make not limited just to real-estate credit, but across all of our strategies, we're always looking for areas of appropriate related diversity to further expand what is already a pretty significant addressable market. I'll give you an example of that, our workforce and affordable housing fund, two. Unlike fund one, we're now investing amongst other things in the conversion of extended stay hospitality assets to workforce and affordable housing at better returns than workforce and affordable housing and it's playing the vanilla away. 53:36 We've also expanded and own a number of assets in the manufactured housing space in workforce and affordable housing fund fund too, and that's pretty significant market where we've developed some meaningful capabilities to assess and invest in manufactured – in manufactured housing assets across the country. Really all designed to provide a spectrum of choices for the renter between market rate, workforce and affordable, manufactured housing, etcetera, the unifying theme around all of that is we work hard to find ways to deploy our social and community programming capabilities to live in the communities to enrich the lives of the residents to – with the knock on beneficial effects of lower turnover ability to raise rents, etcetera. I would say as well, just because we think it's really important. All the fiscal stimulus that and growth of the economy that you're seeing those financial metrics are benefiting the middle income and lower income cohorts of the U. S. Population disproportionately in many respects and that's precisely the part of the U. S. Resident population that we focus our energies on. So we have some meaningful tailwinds in terms of ability to afford our communities in terms of the growth of the U. S. Economy.
Michael Cyprus: 55:27 Great. Thank you.
Jonathan Slager: 55:28 Sorry for the long answer to your question.
Operator: 55:35 Thank you. Our next question is from Bill Katz with Citigroup. Please proceed with your question.
Bill Katz: 55:41 Okay. Thanks. Just a couple of technical follow-ups. Just of Katie or Jon, just the share count from here, should we assume that this is the right run rate now, now that the IPO sort of fully quarterize if you will and then on the NCI discussion, as you collapse that over the next three years, is that and I apologize, I probably sure noticed. Is that a cliff event or is that ratable then? How should be thinking about maybe the phasing of that? Thank you.
Katie Elsnab: 56:08 Sure. So on your first question related to this share count. We have done our annual ground of approximately two percent. We'll do a similar grant in the first six months of twenty twenty two so you can layer that into your forecast. For the second question, you'll see that we do break out the MSI related to the twenty nineteen twenty one program in our MD&A. The expectation of the look flat at the end of January one twenty twenty two, January one twenty twenty three and so on.
Bill Katz: 56:43 Thank you.
Jonathan Slager: 56:45 The biggest, the most significant one is to twenty nineteen. So, that will kind of have a meaningful impact I think in terms of reducing NCI in twenty twenty two.
Bill Katz: 56:59 Okay thanks again.
Operator: 57:06 Thank you. There are no further questions at this time. I would like to turn the floor back over to management for any closing comments.
Jonathan Slager: 57:13 Well, thank you, operator, and thank you to all who are participating in this 3Q earnings call. We're as a group pleased with our strong quarter, we're excited about the opportunities ahead of us, both to continue to grow our mature strategies and to expand and extend our newly launched strategies we feel as we've said before the bridge is well positioned with carefully curated activities, which are aligned against strong and fast growing sectors of real estate. We continue to invest in our capabilities, invest in our teams. We continue to see strong momentum on the capital raising side and work tirelessly to be selective in our deployment and we very much appreciate the support and interests of all of you in our business. So thank you.
Operator: 58:16 This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.
Robert Morse: 58:22 Thank you.
Jonathan Slager: 58:25 Bye bye.